Operator: Greetings and welcome to the EPAM Systems First Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. David Straube, Head of Investor Relations for EPAM Systems. Thank you. You may begin.
David Straube: Thank you, operator and good morning everyone. By now, you should have received your copy of the earnings release for the company’s first quarter 2019 results. If you have not, a copy is available at epam.com in the Investors section. With me on today’s call are Arkadiy Dobkin, CEO and President and Jason Peterson, Chief Financial Officer. Before I begin, I would like to remind you that some of the comments made on today’s call may contain forward-looking statements. These statements are subject to risk and uncertainties as described in the company’s earnings release and SEC filings. Additionally, all references to reported results that are non-GAAP measures have been reconciled to GAAP and are available in our quarterly earnings materials located in the Investors section of our website. With that said, I will now turn the call over to Ark.
Arkadiy Dobkin: Thank you, Dave and good morning everyone. Thanks for joining us. I would like to start with a few financial highlights of our first quarter. We delivered revenues of $521 million, reflecting 23% year-over-year growth or 26% in constant currency terms. In addition, we delivered strong non-GAAP earnings per share of $1.25, which represents 34% growth from Q1 of 2018. We believe our Q1 results have given us a solid start to the fiscal year and underscore our continued muted relevance in the market. We think it is especially important, taking in account our remark just 3 months back, when we mentioned macro level uncertainties, which everyone worried about it then and it seems like still do now at least based on recently reported performance of some regional market players. So at this point, we think our relevance has been owned through our nonstop focus on investing across the business, broadening our set of proceedings, developing our talent faster, and overall, constantly disrupting our sales to improve our chances as a company to be better prepared for the future. While it isn’t possible to share something significantly new in regards to what we did in Q1 versus previous period, I think a short summery could help serve as a reminder of what our focus is. So, we are continuously shaping our consulting cushion by strengthening our end-market teams and blending in new capabilities, which we added to EPAM during 2018 organically and by acquisitions. As indicated before, our goal is to build well-integrated consulting offering across business, experience and technology expertise. They should allow us to empower our historically strong project engineering capabilities and bring real value to our clients with the solutions we are delivering. During the last quarter, we saw a good level of progress in this direction. Also, we are continuously improving our product engineering capabilities across all global locations and constantly improving productivity, expertise and quality as well as the way of working and collaborating within our and clients’ teams by investing in our own digital platforms to support it. And we are continuously thinking about and testing in practice new services, new solutions and the alternative approaches to problem solving, which we didn’t consider or didn’t work in the past for us for one or another reason. And Q1 brought some new challenges forcing us to act outside of comfort zone and making us think differently and we are excited to address those, because it shows us a glimpse of the future. Finally, as a result of all of that, we are changing the company constantly and experimenting with different models of how we work internally and how we interact with clients and partners to address the challenges we are together encouraging and to improve the overall speed of everything we do. One good example of our non-stop evolution could be our digital platform strategy concept, which allows EPAM to connect across all our capabilities in consulting, design architecture and engineering and optimize overall delivery giving our clients a partner that can help them with a total engagement cycle from ideation to production run. Yes, we know, most likely you have heard that before from others in the industry, both in terms of the approach itself and probably even in brands and similarities. And it is true – it’s very difficult to differentiate yourself just on the message. The difference clearly is in execution where speed and quality of deliverables are critical and those are the function of thousands of small details, including the ability to orchestrate multi-functional and multi-locational teams while constantly improving productivity and eliminating waste. And also the difference is an unstoppable desire to put forth the extra effort to overcome a constantly growing number of new obstacles. Proving such differentiation points in practice over and over again is the only way to move forward and that’s the reason we are very excited to hear positive remarks from many of our clients about the impact of our efforts on their businesses. While they are also sharing how different and sometimes difficult because of that we are to work it, that are the reasons we are continuing to be optimistic about our future in the maybe broadly overused term digital ecosystem, where everything including clients, consumers, partners, suppliers and the employees, all blended together into scalable and flexible platform environment. So, our goal is simple. We want to enable our customers to be competitive and disruptive in the marketplace through such innovative solutions while helping them navigate successfully through multiple ways of technology changes. And today, we continue to see consistent demand across our main verticals and in our emerging verticals for our uniquely blended capabilities. To do pragmatic consulting around platforms, data and analytics, automation and engineering capabilities and to put that together with the full depth and breadth of EPAM Global Delivery machine, which we built in over the years. So at this point, I think we can repeat again as we did 3 months ago. Despite some of the macro level uncertainties, we are constantly watching and reading about, we are looking at 2019 optimistically. We are confident that we can continue to remain relevant to our diverse and global client base through our ability to execute lifescale digital transformation programs and to help them to make some very ambitious innovations, programs very real. With that said, let me turn the call over to Jason for more details on our Q1 results and update on our business outlook.
Jason Peterson: Thank you, Ark. Good morning everyone. I will start with you on Q1 financial highlights, then talk about profitability, cash flow and end on guidance for the 2019 fiscal year and Q2. In the first quarter, we delivered solid top line performance, exceeded our profitability expectations and grew earnings per share. Here are a few key highlights from the quarter. Revenue came in at $521.3 million, a year-over-year growth of 22.9% on a reported basis or 26.3% growth in constant currency, reflecting a negative foreign exchange impact of 3.4%. Looking at our first quarter revenue growth across our industry verticals, the drivers of growth remain very consistent and include digital transformation, an increased focus on customer engagement, product development and driving efficiencies and deeper insights through artificial intelligence, machine learning and analytics. Financial service is our largest vertical, delivered 9.1% reported or 13.3% constant currency growth year-over-year. Growth in Q1 was impacted by timing of revenue recognition for several financial services clients in Russia, in addition to the expected ramp down of activity at a few clients predominantly based in Europe. We continue to see increasing demand for our offerings in the payment processing and insurance space, which currently account for a modest share of revenues, but represent a rapidly growing part of our financial services portfolio. Travel and consumer grew 13.6% reported and 18.1% in constant currency terms. Growth in Q1 was impacted by the ramp down of [indiscernible] few consumer clients in Europe, along with muted growth for few clients based in North America. Software and high-tech grew 23.4% in the quarter. Business information and media posted 24.7% growth in Q1. Life sciences and healthcare grew 69.6%, reflecting broad-based growth across both industries and in existing and new client programs. And lastly, our emerging verticals delivered 40.7% growth driven primarily by clients in energy, telecommunications and automotive. From a geographic perspective, North America, our largest region, representing 60.7% of our Q1 revenues, grew 32.2% year-over-year or 33% in constant currency. Europe, representing 33.3% of our Q1 revenues, grew 13.3% year-over-year or 19.3% in constant currency. CIS, representing 3.5% of our Q1 revenues, contracted year-over-year on both a reported and a constant currency basis, declining 16.6% and 4.1% respectively. Growth in this geography was impacted primarily by the timing of revenue recognition at several financial services clients. And finally, APAC grew 32.1% or 37.3% in constant currency and now represents 2.5% of our revenues. In the first quarter, growth in our top 20 clients was 15.5% and growth outside our top 20 clients was approximately 29% compared to the same quarter last year. Moving down the income statement, our GAAP gross margin for the quarter was 33.9% compared to 34.5% in Q1 of last year. Non-GAAP gross margin for the quarter was 36.3% compared to 36.5% for the same quarter last year. GAAP SG&A was 19.5% of revenue compared to 21.1% in Q1 of last year and non-GAAP SG&A came in at 17.7% of revenue compared to 19% in the same period last year, somewhat below the bottom end of the range that we target. GAAP income from operations was $64.7 million or 12.4% of revenue in the quarter compared to $48.7 million or 11.5% of revenue in Q1 of last year. Non-GAAP income from operations was $89.2 million or 17.1% of revenue in the quarter compared to $67.7 million or 16% of revenue in Q1 of last year. Our GAAP effective tax rate for the quarter came in at 5.4%, which includes $11.5 million excess tax benefit related to stock option exercises investing of restricted stock units. Our non-GAAP effective tax rate, which excludes the excess tax benefit and certain one-time items, was 22.5%. Diluted earnings per share on a GAAP basis was $1.06 and non-GAAP EPS was $1.25, reflecting a 34.4% increase over the same quarter in fiscal 2018. In Q1, there were approximately 57.2 million diluted shares outstanding. Turning to our cash flow and balance sheet, cash flow from operations for Q1 was negative $0.2 million compared to a positive $7.3 million in the same quarter last year. And free cash flow was negative $13.6 million compared to a negative $3.4 million in the same quarter last year. Cash flows this quarter were impacted by payments related to our annual variable compensation programs, which paid out at a higher level based on our 2018 performance and to a lesser extent an increase in DSO between Q4 and Q1. DSO was 78 days compared to 73 days at the end of Q4 fiscal 2018 and 83 days in the same quarter last year. We continue to be pleased with their DSO performance. Moving on to few operational metrics, we ended the quarter with over 27,800 delivery professionals, that’s 17.6% increase year-over-year, and a net addition of more than 1,100 production professionals during Q1. Our total headcount ended at more than 31,400 employees. Utilization was 79.9% compared to 77.6% in the same quarter last year and 80.2% in Q4. Now, let’s turn to guidance. Starting with fiscal 2019, revenue growth will continue to be at least 22% reported and at least 23% in constant currency terms after factoring a percent estimated unfavorable foreign exchange impact. We expect GAAP income from operations to continue to be in the range of 12.5% to 13.5% and non-GAAP income from operations to continue to be in the range of 16% to 17%. We expect our GAAP effective tax rate to now be approximately 12% and our non-GAAP effective tax rate to continue to be approximately 23%. Earnings per share, we now expect GAAP diluted EPS to be at least $4.61 for the full year and non-GAAP diluted EPS will now be at least $5.19, reflecting a modest improvement in expected profitability for the full year. We now expect weighted average share count of 58 million fully diluted shares outstanding. For Q2 of fiscal year ‘19, revenues will be at least $549 million for the second quarter, producing a growth rate of at least 23% reported and at least 24% in constant currency terms after factoring in an 1% estimated unfavorable foreign exchange impact. We expect GAAP income from operations to be in the range of 12% to 13% and non-GAAP income from operations to be in the range of 15.5% to 16.5%, reflecting a higher level of holidays in the CIS region and the impact of our annual compensation increases. We expect our GAAP effective tax rate to be approximately 9% and non-GAAP effective tax rate will be approximately 23%. Earnings per share, we expect GAAP diluted EPS will be at least $1.12 for the quarter and non-GAAP EPS will be at least $1.21 for the quarter. And lastly, we expect a weighted average share count of 57.9 million fully diluted shares outstanding. Finally a few key assumptions that support our GAAP to non-GAAP measurements. Stock compensation expense is expected to be approximately $16.2 million in Q2, $15.2 million in Q3 and $15.6 million in Q4. Amortization of intangibles is expected to be approximately $2.4 million for each of the remaining quarters. The impact of foreign exchange is expected to be approximately a $2 million loss for the remainder of the year, with $1 million in Q2 and $500,000 in each of the remaining quarters. Tax effective non-GAAP adjustments, is expected to be around $4.3 million in Q2 and approximately $4 million in each remaining quarter. We expect excess tax benefits to be around $10 million in Q2, $6.8 million in Q3 and $4.2 million in Q4. And lastly, given the amount of interest income we expect for fiscal 2019, we are adding an assumption related to interest and other income for the remainder of the year. We expect interest and other income to be $2.7 million for each of the remaining quarters. In summary, our Q1 results reflect solid demand for our services, underpinned by a diverse mix of projects and offerings across the industries we serve. We remain confident that our strategy combining our core engineering heritage with consulting, advanced technology and digital business services positions EPAM well for the future. With that, let’s open the call for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Ashwin Shirvaikar with Citi. Please proceed with your question.
Ashwin Shirvaikar: Hi, Ark. Hi, Jason. Good start to the year.
Arkadiy Dobkin: Thank you.
Ashwin Shirvaikar: I guess my – let me start with the obvious question, I guess your first half growth was about 25% constant currency and the low end of your full-year outlook remains 23%. I think the Russia reference, not the full year factor, given it’s all about timing, not sure about the European client ramp downs you mentioned, any further details would be great there. But more importantly, if you’re expressing optimism on a full year basis, what keeps you from bringing up the low end of your year outlook?
Jason Peterson: So fair question. We feel good about how we’ve started Q1 and clearly, based on our guidance for Q2 feel good about the demand environment. What we are seeing is a couple of things, which is one is that we are seeing a little bit of a pullback in spending on European banking clients and that then forms our guidance for the full year. And in addition, we’re seeing a little bit of unevenness in demand associated with consumer and retail, primarily in Europe. And again what you’re seeing is some good strong growth across certain of our customers there and then what you’re seeing is a few customers where – whose business models are somewhat challenged and probably further challenged by uncertainty associated with Brexit who are pulling back a little bit on spending. And so the guidance, I would say, is thoughtful and again what we continue to see is strong demand overall across the business. You can see the growth rates in life sciences and healthcare. You can see the growth rates in high tech, in our emerging verticals. And so, we feel very good about the demand environment but we just want to be a little bit thoughtful as we enter Q2 about the remainder of the fiscal year.
Arkadiy Dobkin: And I would add that, Ashwin, traditionally that we project what we’re seeing right now. So what would happen in Q3, Q4, it’s – will be happening, but at this point we see this is [indiscernible]. So – and Q2 become – but the project is – so we increase the guidance. We don’t feel we can increase the guidance right now for the full year yet.
Ashwin Shirvaikar: Got it. Understood. Now that’s good detail. I guess the second question is based on, at least our checks, digital transformation type contract sizes are increasing. That work, it continues to incorporate middle and back office, not just front-office type work. First, would you agree with that? And so – if so, can you talk about some of the changes that you continue to make internally with tools and so on to get a good level of incremental share from those bigger deals?
Arkadiy Dobkin: Yes, definitely. Transformation impacts in not just front office but the whole stack of technology center, business processes center and business platforms. And while kind of simplistic understand of digital always was focusing on front-end, in our experience we always were very strongly engineering driven, as you know. And it means that we – traditionally, we’re working on development of the many core platforms for large product companies, helping them with this and then get an experience how to do implementation and customization of this. For this point we have the skills and during the last couple of years, we actually went down with the solutions for – and corporations and it’s changing us. And we’re investing a lot in advancing and modernization technologies for legacy systems and we have some progress – visible progress there as well. So now, we actually can optimize from end to end and that’s becoming bigger portion of our business but still on the development and very highly engineering customization points of view, not on managing or maintaining the legacy stock or [indiscernible].
Ashwin Shirvaikar: Got it. Thank you, guys. Good quarter.
Jason Peterson: Thank you.
Operator: Thank you. Our next question comes from the line of Jason Kupferberg with Bank of America/Merrill Lynch. Please proceed with your question.
Amit Singh: Hi, guys. This is actually Amit Singh. Great quarter overall. Just wanted to start off on a question related to the last question on financial services, so the pullback that you talk about among European clients, I wanted to get a sense of is this something new or has this has been going on for a while given your financial services revenue growth has been decelerating over the last few quarters? And also if you could update us on the health of the financial services clients in North America and then how should we look at your overall vertical growth going forward? Should we expect the growth to further decelerate from here?
Jason Peterson: Right. So, thanks for that question. So the first thing I want to focus on is just the overall demand environment for the company. So, we have always talked about the company having a broad series of sort of what I would refer to as growth engines, that’s both new and existing clients, and then what you can see is that we’re able to deliver growth across a broad range of verticals. New vertical at EPAM constitutes more than 22% of revenue and that would be financial services. We are actually seeing very strong growth in fin tech, in asset management, in card payment and processing and we’re beginning to see some very exciting growth then actually with our insurance customers, which today make up a small part of our business, but we expect to grow relatively rapidly in both the near and the midterm. So, we’ve got a lot of sources of growth inside financial services and what we’re just seeing in a handful of banking clients, we just want to acknowledge that there has been a little bit of pull-back there and that’s what then forms our guidance. As Ark said, what we want to do is guide for the full year to what we can see today and again the – somewhat of a reduction that we saw in Q1 forms the guidance for the remainder of the year.
Amit Singh: Okay, perfect. And then if you could provide a little bit more – you talked about consulting and I believe your overall consulting employees were around 2,000 maybe a quarter or so ago. How has that changed over the last quarter? And then related to that, as you’re adding more of these consulting capabilities and people, should it have an impact on your long-term margins because based on your current guidance, it seems like this year you will likely be toward the upper end of that 16% to 17% range?
Arkadiy Dobkin: So, during the previous calls, we kind of touched on this and our message was that we’re not trying to create a separate line of business, which is consulting, rather than create integrated solution then from advising to delivering and optimizing actually the end result. And this is still to go. So, it’s very difficult. We don’t have even like specific headcount on consulting is – pure consulting services, because it’s more like attribute of multiple professionals in EPAM which play in specific roles and specific engagements. So very difficult to answer questions with metrics and so on because we’re measuring and trying to measure this on the end results. The number of people in market increasing but – and we play in to increase, how this will impact the margin, so in general, profitably on end market – margins on end market people, a little bit lower than our global delivery centers from our point of view. As the same time, the consultative behavior and consultative type of engagement growing and we are seeing that some of this is bringing us different marginality of the clients, because we are getting whole year engagements. We can advise and we can actually work with clients in a very different manner. So, we do see that it’s not going to impact our margin in a long time, but investment is necessary and our kind of guidance is what we are communicating right now.
Amit Singh: Alright. Perfect, thank you very much.
Operator: Thank you. Our next question comes from the line of Maggie Nolan with William Blair. Please proceed with your question.
Maggie Nolan: Good morning. So Ark, in your prepared remarks you talked about some new challenges that you faced in Q1. Is this some of the vertical specific challenges that you outlined on the call? Are there other challenges that were happening during the first quarter? Can you elaborate a little bit on those? And then also you kind of tie that into the ability to create new solutions or services? Is there anything there in particular that stands out as something that could be an interesting development for the business or a growth driver for the business?
Arkadiy Dobkin: Okay. I think it’s kind of two questions. In reality, it is exactly overlapping and one thing for us because the challenges coming from – and clearly there is multiple challenges in Q1 – just confirmation of this trend over different quarters because we have it constantly, but what I talking about – about some challenges coming from the new type of services which we bring from our internal disruption going to some areas where we not necessarily know all answers. And as – almost as a rule, when clients don’t know the answers as well, otherwise they wouldn’t be coming to us. And it’s great challenge is how to do new type of projects, new type of engagement with new type of capabilities. And with our organic kind of internal disruption and bringing new capabilities through acquisitions, we’re creating opportunities to go to this unknown situation and test new type of ideas and solutions and services. And that’s what I was kind of referring to earlier today.
Maggie Nolan: Okay, I understand. And then, as you think about kind of these new engagements and more of these transformational type of engagements, of the business that you’ve been winning, how much of that would you characterize this transformational? And then on the pipeline as well, are you seeing an increase in the transformational deals in the pipeline and any quantification of that would be appreciated. Thanks.
Arkadiy Dobkin: I cannot give you like specific numbers, but it’s definitely increasing pretty rapidly the type of deals come to us where it’s a critical transformational effort or initiative from the client base, like 3, 4 years ago it was single. Now, probably we participate in dozens of this type of engagement.
Operator: Thank you. Our next question comes from the line of Bryan Bergin with Cowen & Company. Please proceed with your question.
Bryan Bergin: Hi, thank you. A follow-up here on the consulting and design services, can you give us a sense of the base of clients that you have penetrated with those offerings? Are you having success winning new engagements by leading with these offerings? I am curious if there are relationships starting that have different counterparts than your traditional target in a client?
Arkadiy Dobkin: I am sorry. Can you repeat?
Bryan Bergin: Yes, sure. So with respect to the consulting design services, how much of the base of your existing clients have you penetrated with those services? And then with respect to – if you are leading with this offering, are you dealing with different people and different counterparts at the client then you traditionally would be?
Arkadiy Dobkin: Yes, probably penetration with this type of service is pretty deep. So it’s – again we’re not giving specific numbers, but it’s way over 50% of our business, like probably closer to 70%, 80%, and type of people, we interact broadening but it’s still a lot of interaction with IT people, because actually the companies it’s serious about is involving IT operation in cooperation with business and with digital leadership working together. So I think we’re seeing more and more different characters on client side, but IT is still driving a big portion of this because complex platforms without technology practically impossible to deliver.
Bryan Bergin: Okay, that makes sense. Alright. And then just on talent sourcing, you continue to show a nice separation between headcount and revenue growth. Do you think this is sustainable? Can you talk about the hiring ramp there and then the competition also for talent, any changes?
Arkadiy Dobkin: No, I think on separation there is nothing new here. So we’re indicating multiple times with a structure of this and I think it continues to be the same. It’s slightly increasing in our case and short presence, new contracts come in with better rates. So this promotion inside of the existing contracts because of accumulated experience of our people, and that’s practically the same growth proportion from revenue which we’ve seen. And the second question was about challenges as far as sourcing...
Bryan Bergin: Yes, talent – the competition for talent, any changes there still playing?
Arkadiy Dobkin: Yes, we don’t have any easier way to do it. So we still – it’s still very tough market and investments in training, investment in people, in retention, in allocation, very important, plus clearly the type of interesting deals which we run and bringing us opportunity to attract more talented components of the workforce.
Bryan Bergin: Okay. Thank you.
Arkadiy Dobkin: But challenge is there, sorry, absolutely.
Operator: Thank you. Our next question comes from the line of Mayank Tandon with Needham & Company. Please proceed with your question.
Mayank Tandon: Thank you. Good morning. Good quarter again. Jason, maybe you could parse through the revenue profile going forward in terms of your headcount plans, any potential for further improvement in utilization and also what type of pricing tailwinds you’re building into your expectations for the rest of the year?
Jason Peterson: That’s a fair question. So from a pricing standpoint, as Ark indicated, is that if you are doing a revenue per head count is there is an ongoing gradual shift toward somewhat more talent in market, so that have a positive uplift, OK. As Ark also indicated, we just did our promotions cycle, we usually have a certain amount of rate alignment after that and then we continue to get price increases at existing customers, and with newer customers and other opportunities there is potential for pricing as well. So, what we’re looking at right now is an environment that probably is somewhat similar to what we’ve seen in past time periods and probably a similar level of wage inflation, certainly not an elevated level wage inflation. And so, I think that, that sort of bodes for a fairly consistent sort of pricing and wage inflation environment. From a utilization standpoint and I do need to make this clear around sort of that quaternization or seasonality of our business, what we usually see is a first half of our fiscal year has got lower available we capacity or what other companies called bill days. And so, in our environment, we’ve got significant holidays associated with Orthodox Christmas, in Q1 we’ve got significant holidays associated with May in the CIS region in Q2. So, we have fewer available working days and as a result, that usually has a somewhat negative impact on profitability. And in the second half, we’ve got more available working days. And then you see a general improvement of profitability and you’ll see that in our patterns throughout the last couple of years. And so, right now we’re running at a relatively high-level utilization. We think we’ll run at a higher level than we have in past years but I would expect a modest decline in utilization as we go from Q1 to Q2, in part because of the elevated vacations associated with May.
Mayank Tandon: Great, that’s helpful color. And then if I can just follow-up on the verticals, could you provide any more details on what the emerging verticals comprise? And also, how are you thinking about expanding into new areas, either through M&A or organically?
Jason Peterson: Okay, that’s fair. So, from a from the emerging standpoint, there is a series of customers in there but we generally sort of focus on energy, which has been strong growth here in Q1. We’re seeing good growth in automotive and then we’re seeing some interesting activity and growth in telecommunications. From an M&A standpoint, a lot of the focus has been on developing incremental sort of in-market consulting capability, and then there’s also probably some opportunities to get some additional sort of skills and talents. But probably the focus from an M&A strategy standpoint has not changed dramatically. We’re still focused more on sort of consulting capabilities in market.
Mayank Tandon: Great. Thank you.
Operator: Thank you [Operator Instructions] our next question comes from the line of Joseph Foresi with Cantor Fitzgerald. Please proceed with your question.
Joseph Foresi: Hi. I wanted to get a sense of demand and I wanted to ask the question this way. How much of the engagements that are coming in or the new engagements or the new work that’s coming in are new engagements versus takeaways? And have you seen any shift in that work? I know there’s traditionally been brand new engagements.
Arkadiy Dobkin: You mean that new engagements and existing clients?
Joseph Foresi: Yes. Is that still primarily new work or is that more takeaways and have you seen any shift there?
Arkadiy Dobkin: I think it’s approximately it’s very difficult sometimes to qualify what is new engagement or not, especially in the modern this platform, build out, because it’s usually extension of something which you were doing before. But I don’t think there is any shift in this. There is new initiative still and there is continuation of kind of large sub-components of the platform development, and most of this all connect it as well.
Jason Peterson: And so, that our consistent trend has been that if you look at the incremental revenue dollars on a year-over-year basis, that 60% of incremental revenue dollar comes from existing clients and 40% of the incremental revenue dollar comes from new clients. And so, that trend stays pretty consistent. Again, we continue to grow quite rapidly as many of our largest and longest-standing customers, and we continue to get quite a bit of incremental revenue from new customer engagements.
Joseph Foresi: That’s very helpful. Yes. And then my second one, I guess I’ll ask about guidance again and I’ll ask it differently. On the margin side, they seem to want to continue to go up. What are the levers there? Why not take a look at the guidance for the full year on the margin side and what keeps you conservative on that side? Thanks.
Jason Peterson: Okay. And so, our guidance does indicate that we have somewhat more confidence that we can run the business at a somewhat higher level of profitability than what we thought when we began the fiscal year. So, to that take-up in EPS reflect some of that sense that we can incrementally improve profitability. But I think as we look at the business, we want to make certain that we continue to invest in the business that does have some amount of SG&A related investment. And I think gross margin will be sort of relatively consistent with what we saw last year. And so, I think its kind of informed by the desire to continue to invest in the business. And as Ark talked about, the notion of, let’s say, challenges with customers is that we are bringing additional capabilities to market. We’re filling in with capabilities that maybe we haven’t historically had. We’re learning from that. Our clients are learning from that. We think it makes us more relevant to clients and then it supports our growth long-term, which is expected to continue to be in excess of 20% per year.
Joseph Foresi: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Moshe Katri with Wedbush Securities. Please proceed with your question.
Moshe Katri: Hi, thanks, good morning. Is there a way to quantify the impacts from the ramp-downs on revenue growth for the quarter? And then as a follow-up, you mentioned that fin tech and insurance are both offsetting the weakness in the traditional banking business in Europe. Can you give us a maybe some color which percentage of the overall financial services vertical these two emerging growth areas account for? Thanks a lot.
Jason Peterson: Yes, I think I probably wouldn’t spend a lot of time with this moment sort of dissecting different components of the financial services practice. What I can say is that we’ve got a significant series of growth opportunities in the fin tech. We’ve talked about insurance, which is small and we think rapidly growing. But then I’m going to pull back and just kind of talk about the business overall, is that EPAM has always had a broad source of growth opportunities across industry verticals, across both new and existing clients. And so, I think how I would speak about both the quarter and the full fiscal year is despite some softness in spending with banks, the Company is continuing to grow our business in excess of 20% per year, in part because we are not dependent on financial services as a source of growth for the Company. I think I look long term I think the other thing that I would say is that historically and today would be no different, we continue to be relatively more supply constrained than we’ve ever been demand constrained. So even if there is a modest reduction in demand across a couple of customers, oftentimes what you’ll find in more than often almost always is there is an opportunity to deploy resources in other accounts.
Moshe Katri: Thanks.
Arkadiy Dobkin: We ensure it will be very kind of quickly resolve client concentration, and we don’t think there is any danger that even if one client will go down, we wouldn’t be able to handle it or a couple of clients. And historically, that’s exactly what’s happening multiple times during the last 5 years, 6 years, so never impacted our overall growth. So, unless the broader economic changes somewhere, we feel free pretty confident.
Moshe Katri: Helpful, thanks.
Operator: Thank you. Our next question comes from the line of Arvind Ramnani with KeyBanc Capital Markets. Please proceed with your question.
Arvind Ramnani: Hi, thanks for taking my question. Just had a question regarding your earlier commentary on some of the softer spend at some of the specific banks in Europe. Is it mostly related to Brexit or is there some of the banks going through some in-sourcing as well?
Arkadiy Dobkin: It might be combination of this. So, because some banks going through insourcing conveys so and we’re hearing about it for a very long time, at the same time even our big banks while not necessarily very optimistic part of the story, it is pretty kind of control story for us at this point. But what exactly driving this, it’s very difficult to answer, because we don’t have direct answers as well when we’re asking this question.
Arvind Ramnani: Great. And as it pertains to Brexit, I mean clearly there is some uncertainty now and maybe some slowdown in spending. But do you think that the slowdown as it pertains to Brexit is temporary and once there’s clarity and if things kind of separate things could – the next 12 months to 18 months spending could actually accelerate?
Arkadiy Dobkin: My answer probably would be a little bit funny, but if you think it’s every everything is temporary and we saw so many changes like during the last year. So, it always was going some clients were going down and then going up. I’m pretty sure that Brexit is not a permanent thing. Life will make some changes, replacement and demand will come back. Is it going to be slowed down for 6 months or 18 months, that’s all, I don’t know, or maybe not at all impact.
Arvind Ramnani: Great. And just kind of on the recruiting environment, given that Luxoft is now being absorbed by DXC, has it made the recruiting environment easier or has that continued to be difficult to recruit?
Arkadiy Dobkin: With all respect to EPAM and to Luxoft, I don’t think that creates any impact on the overall recruitment situation across Europe. So, because it’s a much bigger ecosystem. I think in general, it’s still challenging and we bring in all our auctions about where we’re going, where we recruit, how are we doing this? We play in kind of assumption that it would be real challenge. So, and I don’t think situation with Luxoft changes the labor market in anyway.
Arvind Ramnani: Great, thank you. Good luck for...
Arkadiy Dobkin: Definitely not simplifying the market.
Arvind Ramnani: Sounds great. Thank you. Good luck for remainder of the year.
Operator: Thank you. Our next question comes from the line of Vladimir Bespalov with VTB Capital. Please proceed with your question.
Vladimir Bespalov: Hello. Congratulations on the good results and thank you for taking my questions. My first question will be on revenues per delivery professional, so if my calculations are correct, I see some decrease in revenues per diluted professional in the first quarter even though the utilization rate was pretty high and close to what you saw in the fourth quarter. Could you comment a little bit what is behind this and how this should develop going forward? And my second question will be on capital allocation strategy. I know that you are always considering M&A activity, but still you have a lot of cash on your balance sheet. So, are you thinking any other ways of using this cash, for example, share buybacks or dividend distribution or whatever? Thank you.
Jason Peterson: Yes. And so, on the first question, when we do the calculation that I think you’re doing, what we would see is that revenue per headcount actually is increasing. Maybe what you’re saying is that revenue the growth in revenue per headcount is not at exactly the same level as we’ve seen in, let’s say, the last couple of quarters. And the one thing that is an important factor is foreign exchange, and so when we do that we do that calculation just so we can kind of understand your perspective, is that both you have to look at foreign exchange in utilization and from a growth in revenue per headcount, if you adjust for those two factors, the growth in revenue per headcount is pretty consistent with what we’ve seen in past quarters.
Arkadiy Dobkin: In constant currency.
Jason Peterson: Yes. So, you’ve got adjust for foreign exchange as [indiscernible] constant currency and then utilization. And then from the standpoint of capital allocation is – as you indicate, we continue to have an inorganic strategy and that will consume capital. And we’re evaluating opportunities for, let’s say for a capital allocation strategy overtime, but nothing that we would announce and wouldn’t announce a change at this time.
Vladimir Bespalov: Thank you very much.
Operator: Thank you. Our next question comes from the line of Darrin Peller with Wolfe Research. Please proceed with your question.
Darrin Peller: Thanks guys. Couple of quick questions; one higher level question is just a kind of question about competition at RFPs [Technical Difficulty] different kind of trends, and honestly it sounds like the backdrop in the demand environment is very strong, but we see certain kinds of competitors that seem to be struggling based on the kinds of tax. So, I guess first of all, are you seeing different players go head-to-head with you for the same kinds of deals that you’re competing for now than maybe you’ve seen you would have seen two years ago? Are there just different people in the room? And then from a backdrop standpoint and end market, is consolidation whether it’s in healthcare, it’s in financial services, has that been impacting you guys as well of your clients, not shown as much as, let’s call it, like a March budget release versus what you’ve seen in past? We’ve just heard something like that from other some of your competitors as well, so I’d love to hear a little more color on that please.
Arkadiy Dobkin: I think there are some movements in type of services which different companies provide. But in general, I think its pretty consistent group our competitors which we’ve seen. While I’m seeing it’s quite consistent, it’s still very broad from very big multinational system integrators and some local company focused on very specific competencies. So, that was for us was the case like 5 years, 6 years ago and I think its very similar right now, with exceptions that while we go in for the bigger deals, we’re seeing big guys more often than before. So, the second question, I didn’t it was a little bit breaking on you. Can you repeat the second question?
Darrin Peller: Yes, I was trying to figure out if you guys there’s been consolidation among the client base, so certain healthcare clients are merging or financial banks are merging. Are you seeing that impact the demand environment at all? And to some degree, we also heard that there was less of a budget release in March where some of these some of your clients might actually finalize their budget for the year than prior years. It doesn’t sound like you saw that but I’m curious.
Jason Peterson: Yes, I mean we’re clearly seeing extremely strong demand in healthcare and life sciences and on both sides of that, and so we’re not seeing a slowdown associated with a budget release or a lack of budget release.
Arkadiy Dobkin: So, and also, the risk consolidation in [indiscernible] is well. So, some big companies by getting in different groups, and that’s happening with us as well, which is creating potentially several clients with difference strategy growing on us. But I don’t think consolidation was an issue for us so far.
Darrin Peller: All right. And then just one quick financial question, Jason. I mean when I look at the free cash flow numbers, it came in a little below what we expected. Just curious to hear what I think you touched on it a bit in your prepared remarks what happened in the quarter. But if you could give us a little more color on what you expect for the year from your free cash flow? And what did M&A contribute in the quarter and maybe what just remind us what you expect again for the year?
Jason Peterson: Sure, so I’ll take the last question first. So, M&A contributed about 200 basis points of growth in Q1. For the full year, we’d expect that M&A would contribute about 100 basis points of growth. And then in terms of the coming in low versus your model, are you referring to cash flow or profitability or revenue or what specific...
Darrin Peller: Free cash, the free cash flow number I’m talking about.
Jason Peterson: Yes. So, I mean, quite honestly there’s two major values there. One would be the variable compensation element and we had a very strong 2018 and as a result, there was a relatively higher level of variable compensation paid out. So, that’s one. And then DSO increased again from 73 days to 78 days, but 78 days is still very good DSL for us, you’ll note that we’ve run in the 80s in the past. And so, I’m still quite happy with the DSO. But it’s really the somewhat elevated level of variable compensation payout due to the that high-level performance we had in 2018 and to a lesser extent, the impact of the increase in DSO. So, in I guess if I would add one more thing, we’re quite seasonal from a cash generation standpoint. And so, in Q1, you would have the variable compensation. You have a little bit of variable compensation in Q2 and our strongest cash-generation quarters are usually again in the second half of the year.
Darrin Peller: Got it. Okay, thanks again.
Operator: Thank you. Ladies and gentlemen, that does conclude our question-and-answer session. I will turn the floor back to Mr. Dobkin for any final comments.
Arkadiy Dobkin: Thank you for joining us today. So just to summarize, I think it should be clear from this call that with all the noises happening around us, which is nothing new and practically constant, we do feel pretty strong about the year and I think Q1 confirming this. And see you next quarter. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.